Operator: Greetings. Welcome to the Gentherm Inc. Fourth Quarter and Year-End 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note this conference is being recorded. I will now turn the conference over to your host, Yijing Brentano, Corporate Development and Investor
Yijing Brentano: Relations. Thank you. You may begin. Thank you, and good morning, everyone. And thanks for joining us today. Gentherm's earnings results were released earlier this morning and a copy of the release is available at Gentherm.com. Additionally, a webcast replay of today's call will be available later today on the Investor Relations section of Gentherm's website. During this call, we may make forward-looking statements within the meaning of Federal Securities laws. Statements reflect our current views with respect to future events and financial performance.  And actual results may differ materially. We undertake no obligation to update them, except as required by law. Please see Gentherm's earnings release and its SEC filings, including the latest 10-K and subsequent reports for discussions of our risk factors and other risks and uncertainties underlying such forward-looking statements. During the call, we may discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the comparable GAAP financial measures are included in our earnings release or investor presentation.  On the call with me today, are Phil Eyler, President and Chief Executive Officer, and Matteo Anversa, Chief Financial Officer. During their remarks, Phil and Matteo will be referring to a presentation deck that we have made available on our website at Gentherm.com/events. After their prepared remarks, we will be pleased to take your questions. Now, I'd like to turn the call over to Phil.
Phil Eyler: Thank you, Yijing. Good morning, everyone, and thank you for joining us today. I'm extremely proud of what the Gentherm team was able to accomplish in 2021, and what was a continuously challenging operating environment. As you can see on slide four, full-year automotive revenue outperformed light vehicle production in our key markets by approximately 13 percentage points, achieving the highest annual automotive revenue in the company's history and we secured near record automotive awards of $1.6 billion.  In addition, we delivered record adjusted EBITDA, record cash flow from operations, and record free cash flow in 2021. Finally, we have clearly expanded our position as a leading supplier in the rapidly expanding electric vehicle market, which I will elaborate on in a few minutes. On the operations front, I would like to recognize our manufacturing and supply chain teams for working tirelessly to minimize the impact of volatile customer demand, escalating freight costs, material cost inflation, and of course, the global semiconductor shortages, including the anticipated supply gap with one of our suppliers in the fourth quarter, that we mentioned on our last earnings call.  Matteo will provide details about our fourth quarter and full-year financial results in a few minutes. Now, turning to the automotive highlights on slide 5. In the fourth quarter, we launched our automotive solutions on 15 different vehicles across 11 OEMs, including BMW, Ford, Geely, General Motors, Hyundai, and Toyota. We continue to see momentum for our CCS product and launch on the Lincoln Zephyr, Nissan Ariya EV, Nissan Pathfinder, and Infiniti QX60. Of special note, our CCS solution is now launched on Range Rovers MLA platform, including plug-in hybrid and mild hybrid vehicles. While our cable business has been traditionally on internal combustion vehicles, I'm pleased to share that we launched the high-voltage cable solution on the Rivian R1P, and R1S.  This is an addition to the recently launched high-voltage cables across Jaguar and Land Rover plug-in hybrid platforms. I'm proud of our teams for transforming our product lines to create value for electric vehicle applications. In addition, we continue to make great progress on ClimateSense, which as you will recall, is our software driven microclimate platform using an algorithm based on Thermal physiology. Winning our first ClimateSense production award in 2021 was a key milestone for us, and our top priority remains the flawless launch on this model year 2024 platform.  ClimateSense is a critical part of our long-term strategy and continues to gain interest from global OEMs. I'm pleased to announce that we have launched a new development project with third OEM in Europe. We continue to optimize the value proposition for electric vehicles by significantly reducing power consumption and increasing range in extreme temperatures, all while providing best-in-class passenger comfort. Now on to Slide 6, where you can see that we continue to win new business at a pace that sets a solid foundation for future growth. In the fourth quarter, we secured $540 million in new program awards, across 20 different customers.  This brings us to over $1.6 billion for total year wins, a very strong finish to a challenging year. We won multiple CCS awards, including platform wins with the Cadillac XT3, Hongqi HS5, the Great Wall WEY sedans, Honda Vessel, and XRV, KIA Sportage, and [Indiscernible] EV SUV. Gentherm continues to expand our strong position with one of the largest electric vehicle manufacturers. In the fourth quarter, we secured multiple program awards for our climate controlled seats and seat heaters. This was the largest win that we have ever had on EV platforms. This win is in addition to the steering wheel and seat heater programs that we've already launched with this OEM since 2014. I'd like to thank our global teams for this breakthrough award as we continue to accelerate the adoption of Gentherm technologies in the EV space. We received 23 steering wheel heater awards across eight OEMs in the quarter, including the Cadillac CT6, Chevrolet CUV, Great Wall FlashCat, and [Indiscernible], Lincoln Nautilus, Voltswagen Tiguan, and Volvo XC90. Of note, out of these 23 programs, 7 were hands-on detection enabled. Moving to electronics, I'm pleased to share that we want to further follow-on award for our next-generation multi-function electronic controller with Ford.  If you recall, our initial win with Ford, combined Gentherm's climate control solution with memory seat functionality, which utilizes our proprietary intelligent positioning system technology. As follow-on award added other functionalities, for example, controlling the power running boards, which helps forward further increased system efficiency and reduce costs. This module will be used in the Lincoln Navigator and Ford Expedition models produced in North America. Finally, we had a strategically important award in our Battery Performance Group, by securing a battery heating award for a new Renault plug-in hybrid vehicle, using our proprietary thin foil technology.  This continues to validate the potential of our unique technology compared to this current state of art. Now moving to Slide 7. I'd like to give you some perspective on how our innovative solutions can significantly increase Gentherm's content per vehicle, as electric vehicles expand in the market. According to IHS estimates, electrified vehicle production, including mild hybrid, full hybrid, and battery electric, is expected to grow from 20% of global production in 2021 to 70% in 2030. We believe Gentherm's current, and future technologies will play an important role in extending the range of electric vehicles and delighting passengers with thermal comfort.  Over the past several years, we continue to expand our core climate and comfort solutions. Our portfolio now includes seat heat, surface heat, floor and ceiling radiant heat, neck and shoulder conditioning, advanced climate-controlled seats, as well as our proprietary hands-on, detection-enabled steering wheel heaters. All of these individually or combined, help reduce reliance on the HVAC system by focusing on thermal management of the occupant instead of the vehicle, and thus, reduce power consumption and increase range.  Moving to Battery Performance Solutions. We've expanded beyond air cooling and our PACE award-winning thermal electric battery thermal management products for mild hybrid 48 volt lithium ion batteries. And we've now launched our high-voltage cables, proprietary thin foil battery heater, as well as wire-based and thin foil Cell Connecting Systems. Our growing portfolio of Battery Performance Solutions helped OEMs improve battery performance and extend longevity. On the digital intelligence front, we developed and manufactured innovative thermal and multi-function electronic control units, or ECUs, such as the ones for the Ford award I mentioned earlier.  Combining functionality and ECUs, helps to reduce the number of units in the vehicle, thereby reducing cost and weight, which particularly benefits electric vehicles. In addition, we have significantly grown our software capabilities. As we prepare for the launch of our first ClimateSense production award, we continue to advance our microclimate platform using the proprietary algorithm that we've developed based on thermal physiology. To summarize, our customers are looking to Gentherm not only for interior Climate Comfort solutions, which are proving to be a key element of energy conservation to EVs, but also for battery performance and digital intelligence solutions.  We are well-positioned to capitalize on the accelerating growth of electric vehicles. Now moving to Slide 8, I'd like to highlight the innovative work our team is doing to bring differentiated, proprietary solutions to market. Let me talk about some of the technologies that we introduced in 2021. First, as we've discussed several times, our ClimateSense software solution is now production ready. In addition, we've introduced a compelling user experience platform and application to inspire OEMs to enrich consumer experience. Next is our proprietary Fiber-Therm, our next-generation carbon fiber CP technology.  FIBERTHERM integrates seat heaters closer to the seat surface, and thus provides faster time to comfort and enables energy savings compared to the traditional wire heater technology. Third, Pilot Sense, which is Gentherm's next generation proprietary hands-on detection or HOD technology. Combining both heating and capacitive sensing in a single layer solution with a single ECU, controlling both functions. HOD is a key function to safely enable higher levels of autonomous vehicle operations.  Our proprietary solution eliminates the need for a second ECU and a wire harness in order to reduce system costs while providing 100% sensing resolution during heating mode. Pilot sense provides better steering wheel surface heating and the opportunity for lightweight designs by eliminating the second layer in a traditional multi-layer HOD solution. Fourth, our intelligent neck conditioning solution. The neck warmer is integrated into the seat headrest providing an immediate warm sensation to the occupant. Our thermal physiology research shows that the proximity of this compact device to the neck enables instantaneous and personalized comfort.  With an integrated ECU, sensors and smart algorithm. This local microclimate device enables optimal individual thermal comfort and energy savings for the vehicle. Fifth, our Next Generation CCS active solution, Gentherm has developed a new intelligent microthermal module, or IMTM, that combines the benefits of our active and ventilated Climate Controlled Seat systems in one package. With its smart airflow control valve and thermal electric element, IMTM provides best-in-class time to comfort and cooling sensation at the start of a drive on a hot day.  And then switches to ventilation mode for long-term comfort. This can be offered standalone or in conjunction with other smart microclimate technologies as part of ClimateSense. IMTM integrates our thermal physiology-based algorithm for an optimized thermal comfort experience to conserve power and extend range for electric vehicles.  And last, we've now introduced our market-ready tinfoil Cell Connecting Systems with embedded cell sensing. This solution provides new levels of battery pack intelligence to battery management systems. As we continue to add innovative solutions to our portfolio, more electric vehicle manufacturers are now leveraging our solutions to enhance comfort while significantly improving energy efficiency and range.  Now let's turn to Slide 9 for a discussion of our medical business. We returned to double-digit revenue growth in the fourth quarter in medical with 17% year-over-year growth. We continue to see strong demand for our flagship product, Blanketrol, in the US and in international markets such as Mexico and Argentina. Blanketrol is a trusted brand for fever management, and we secured upgrade orders to replace end-of-life competitor devices in the fourth quarter.  In addition, we entered the equipment rental market with an exclusive partnership with US Med-Equip, a company that provides short-term and long-term rentals to hospitals with capital equipment needs. They're on most group purchasing organization contracts, and provide a great solution for hospitals that need capital equipment but don't have the budgeted funds for purchase. We're also seeing good momentum with ASTOPAD, and we've conducted trials at large health systems, as well as independent hospitals.  The introduction of ASTOPAD patient warming system, is a strong proof point of how we're able to leverage technology from our automotive business to provide advancements in patient temperature management in our medical business. Spectrum Health in Michigan has approved ASTOPAD for use by all of their members. West Virginia University Hospital is adopting ASTOPAD for their cardiac procedures with plans to expand into Orthopedics. Mountain View Regional Medical Center in New Mexico is using ASTOPAD on a variety of surgeries. As hospitals look for non-air options to warm patients, Gentherm is differentiated from our competitors by offering both convective and conductive solutions. Now, let me summarize.  Our financial results in 2021 demonstrate the continued successful execution of our strategic plan to focus growth, aggressively manage our cost structure, and bring innovative solutions to market. I'd like to thank our global team for securing near record Automotive Awards, as well as delivering record automotive revenue, adjusted EBITDA, and free cash flow in 2021. I'm very proud of the hard work and commitment of the talented global Gentherm team, to overcome challenges in the market, and deliver on our strategy in yet another unprecedented year.  While uncertainty certainly remains, about where production rates will be in the next few months, we believe there is significant pent-up demand that will need to be met once the extraordinary supply chain constraints are resolved. This, combined with our relentless focus on operational excellence, technology leadership, and strong cash flow generation, positions the company well for profitable long-term growth. With that, I'll turn the call over to Matteo, for a little more color on the financial results and our 2022 guidance.
Matteo Anversa: Okay. Thank you, Phil. Let me turn to Slide 10 and focus on the items that most significantly impacted our fourth-quarter results. For the quarter, [Indiscernible] revenues decreased by 14% compared to the same period of last year and if we adjust for the impact of FX, our overall product revenue decreased by 13%. To starting with the Automotive segment, Automotive revenues were $237 million corresponding to a 15% decrease compared to the prior period.  Adjusting for foreign currency translation, automotive revenue decreased by 14%, approximately 200 basis points below actual light vehicle production decline in our key markets of North America, Europe, China, Japan, and Korea. As a reminder, in the fourth quarter of 2020, we had a significant amount of new launches with very high take rates, and as a result, we had a record quarter in automotive revenues and outperformed light vehicle production by 20 percentage points in the year-ago period, which makes for an extremely tough comparison in the current year quarter.  When comparing Q4 revenue results by product line with the record quarterly results achieved the previous year, most product lines decreased with the exception of BPS and other automotive. And more specifically, BPS revenues increased 1% as a result of higher sales of the self-connecting board solution on the BMW E MINI, increased take rate of the 48-volt Mercedes C class, and higher sales of air-cooling BTM, to General Motors. Other automotive revenues, increased by 79% due to higher sales of neck conditioners, and heated interior products.  All the other automotive product lines declined primarily due to the lower production volume and difficult year-over-year comparisons. In addition, let me highlight a couple of unique factors that negatively impacted our fourth quarter. First, as Phil mentioned earlier, as anticipated, there was a semiconductor supply gap from one of our suppliers. Next, Ford F150 launched in the fourth quarter of 2020, with very high take rates that has now normalized. And also, Ford reduced the take rates of our memory seat module, as a result of the electronics shortage from other suppliers. Hyundai reduced take rates due to semiconductor shortages from other suppliers, resulting in them prioritizing lower three-mode level vehicles. Moving to medical, revenue increased by 17% compared to the prior year period driven by the continued success of our Blanketrol and Hemotherm products. Now, turning next to gross margin, gross margin rate, for the fourth quarter was 27.1%, this compares to 32.1% in the year-ago period.  The 500 basis points decrease was driven by higher costs incurred to mitigate the impact of the supply chain disruptions, primarily in the form of spot buys and premium freight, annual customer price reductions, negative volume leverage due to the sales decline, and negative impact of FX. These were partially offset by cost recoveries from customers. Moving to operating expenses, which decreased to $45.5 million in the quarter from $50.8 million in the prior period, the current year fourth quarter amount included $0.4 million of restructuring acquisition, and divestiture expenses.  This compares to last year's fourth quarter, when we incurred approximately $2.4 million of restructuring charges and $1.2 million of acquisition and divestiture expenses. If we adjust for restructuring, acquisition, and divestiture expenses in both periods, operating expenses were $45.1 million, down from $47.2 million in the fourth quarter of 2020. The year-over-year decrease of approximately 4% was primarily driven by the impact of mark-to-market adjustments in cash settled stock appreciation rights in the fourth quarter of last year and tight expense control particularly in SG&A, partially offset by lower R&D income. Sequentially, adjusted operating expenses decreased by approximately $2.8 million compared to the third quarter of 2021.  The primary driver of the decrease was the benefit of austerity measures that we have taken to mitigate the negative impact of the supply chain disruptions. Adjusted EBITDA of $30.9 million declined by approximately $26 million from the prior year period. And finally, adjusted diluted earnings per share in the quarter was $0.61 per share compared to $1.16 per share in the fourth quarter of last year. Our effective tax rate in the fourth quarter was approximately 11% and 18% for the full-year 2021.  This rate was lower than our forecasted range of 20% to 22% due to the cumulative impact from tax credit and deductions related to R&D, as well as favorable tax impact from stock compensation. Now, before I discuss the balance sheet, let me highlight a few key accomplishments for total year 2021. As Phil mentioned earlier, we delivered the highest automotive revenue in the company's history. We're very proud of our team in China for the 53% growth in debt market over the past three years. And if you recall, China represented about 9% of our revenues in 2018. And now it is up to 14%.  On the cost front, we continued our disciplined approach, to managing operating expenses, after adjusting for restructuring, acquisition, and divestiture expenses, operating expense as a percent of revenue, was 17.5%, the lowest since 2014, 120 basis points improvement from 2020 and 210 basis points lower than 2019. We delivered $157 million of adjusted EBITDA, a company record, and more importantly, we generated a $105 million of free cash flow in 2021, setting another company record. Moving to the balance sheet on Slide 11. Our cash position at the end of the quarter was approximately $191 million, slightly below the third quarter level.  The $4 million sequential decrease, was the result of $20 million repurchase of common stock, partially offset by free cash flow generation. We closed 2021 in a net cash position of $152 million, as cash-on-hand exceeded a gross debt, and as a result, our net leverage ratio was negative 0.9. Based on the trailing 12 month consolidated adjusted EBITDA, ended December 31st, we had approximately $440 million of remaining availability on our line of credit, and the total available liquidity as of December 31st, 2021, was $631 million.  Now, let me turn to Slide 12 for our 2022 guidance. And let me start by saying that the semiconductor shortage situation remains extremely fluid. Based on the latest information that we have from our customers and semiconductor suppliers, we are less optimistic about light vehicle production in the first half of 2022, than the latest IHS forecast. We do expect a gradual improvement in the second half of the year, which we have factored into our guidance.  So we are currently expecting product revenues to be in the range of 1.12 billion to 1.22 billion, assuming FX remains at the current levels in light vehicle production in our relevant market growth at a high single-digit rate in 2022 versus 2021. Adjusting for approximately 200 basis points of FX pressure year-over-year, the mid-point of our guidance implies an organic growth rate of 14%. Our guidance also assumes higher revenue in the second half compared to the first half.  In terms of profitability, we continue to see disruptions in our supply chain that have resulted in additional costs. In Q4 and continuing in the first quarter, we are facing the most significant challenges to maintain our supply of semiconductors that we have experienced to-date. And as a result, we expect adjusted EBITDA rate in 2022 to be in the range of 14% to 16%. Due to the need to continue to manage supply gaps with a couple of our suppliers, we expect profitability in the first half of 2022 to be lower than the 12.5% rate we reported in the fourth quarter of 2021.  In the second half of 2022, we expect to return to an adjusted EBITDA rate in the high teens, assuming supply chain pressures start to ease. However, we believe that the inflationary pressures will remain for quite some time. We will continue to be aggressive on cost management and proactively allocate resources over the course of the year to focus on reducing our product costs.  Back to guidance capital expenditure are expected to be in the range of $50 to $60 million. We estimate our tax rate to be in the range of 26% to 28%. The expected tax rate increase compared to 2021 is primarily driven by the impact of the new German tray tax law, which became effective on January 1st, 2022. So with that, I'll turn the call back to the Operator to begin the Q&A session.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Matt Koranda with ROTH Capital. Please proceed with your question.
Matt Koranda: Hey, guys. Good morning. Thanks for taking the question.
Phil Eyler: Hey, Matt.
Matteo Anversa: Good morning, Matt.
Matt Koranda: Morning, guys. Just wanted to start off on the cadence of revenue in 2022, especially in light of your comments about IHS, and your view relative to the industry. Any help on that front, in terms of how we should think about relative growth that you're expecting for the industry versus digest this forecast, and then how you guys assume take rate trend in the first half to help us out with revenue expectations?
Phil Eyler: Sure, Matt. I think we're basing everything on a couple of factors. Let me start off by saying first and foremost that demand for our product remains really high. There's significant indicators from the market that our product is really desired by consumers, dealers, etc. It's just a matter of continued volatility that we see at the moment. Number one, customer order cancellations are still there at a pretty high rates.  We have to factor that in. Of course, we're in the middle as Matteo just mentioned, we're in the middle of the most difficult period that we faced when it comes to chip supplier volatility. Even in some cases, there are customers that we've had to work with to reduce their orders to us to match up with the supply that we have of chips, so that's one. We're also looking closely at all the orders and forecast from our customers. And when we look at the first-half, especially U.S., Europe and Korea, we see that -- we view that the IHS estimates are a little bit high in those countries. So maybe that's what's driving Q1 and Q2 lower.  We are getting good feedback from customers and indications from semiconductor suppliers that the second half is going to be recovery. A gradual recovery, and if things pan out, we believe second half is likely to be a pretty strong period of time. So that's what's all built into our demand so a little bit lower expectations in the first half with some nice ramp-up in the second half. Got it, that's helpful, Phil thanks.  And then is a good way to view sort of the supply chain headwinds that you guys are thinking into the guidance roughly the spread between the first half and second half EBITDA margins. So like call it 600, 700 bits of margin pressure relative to the second half. Be a way to think about supply chain headwinds. And maybe just if you can just walk us through where you're seeing sort of the most tightness since you're kind of going through the toughest environment right now, [Indiscernible] to get a better understanding of sort of where we feel and see tightness in this [Indiscernible].
Matteo Anversa: Matt, let me give you maybe a little bit of color on what we have seen in the margins on the first half and the dynamics that we are facing. I'm going to start actually from where -- pick just from where Phil left. The fact that we are dealing with the supply gaps on our hand is a completely different dynamic from what we experienced for the majority of 2021. And this management of the supply gap comes with the significant amount of cost which is, again, in the form of premium freight, spot buys that really will impact the profitability in the first half of the year.  And related to that, as you know, we are working with customers to get cost recoveries that where we have been actually pretty successful if you look at, for example, the fourth quarter, we were able to recall about almost 60% of the non-inflationary costs. However, the timing of these recoveries tends to be lumpy. And if you look at the amount that we were able to recover in the fourth quarter, this amount really reflects negotiation that started much earlier in the year. Therefore, when you take everything into consideration, I would expect the -- in the first half to have higher cost net of recoveries compared to what we have experienced in the fourth quarter.  Then, I'm going to add a couple of other items. We are expecting inflation that -- both in terms of labor inflation, but most importantly, supplier inflation, where in the particular -- in the second half of 2021, we were able to mitigate through volume rebates from suppliers that will come also in 2022, but those tend to come later in the year. So we won't -- we will not have that in the first half of 2022. And then the last item I would highlight, we have annual customer price reduction that generally kick-in in the first half for each year.  And we are planning to be able to mitigate some of these price reductions through negotiations with customers. But obviously the positive impact of these effects will come later in the year and not in the first half. It gives you a little bit the context of what we are expecting to occur in the first half, compared to the second half, just one final point just to put things into context, if you look at 2021 despite of all the challenges that we had, we had almost $70 million of loss revenue due to the supply gaps.  We had $25 million incremental cost of goods sold in the form of premium freight spot buys in about $10 million of recoveries. When you adjust all of this, we would have hit about almost 18% EBITDA rate in the year, if you normalize for the supply chain impact. So I think overall, in spite of all the challenges, the team did a fantastic job in mitigating those.
Matt Koranda: Very detailed and helpful, Matteo, thank you. And then just lastly, I'm going to bring you up in this one. But on the bookings front, $540 million, a very nice step up sequentially and year-over-year. You guys called out several programs, but just curious if you can put it one on just mix of bookings and what you're seeing on that front in terms of shaping expectations around CCS versus Battery Performance Solutions side of things, and steering wheel theaters, which sounded you may have been heavy in the quarter on those. But just any color you can provide around the mix of bookings or quantify it, that'd be very helpful.
Phil Eyler: I think there's kind of a typical mix. Pretty heavy on CCS and steering wheel as you just pointed out, and even some pretty large heat programs, a lot of EV action in the quarter, which is really exciting on those products, but then we had a very significant -- certainly strategically significant award with Renault on our battery heater for our new proprietary thin foil product. We mentioned some nice ECU awards. It is a pretty balanced mix across our portfolio, and I think that's pretty consistent with what we see in our pipeline.
Matt Koranda: One thing I will add though -- sorry. One quick thing to add is, a new emerging product for us is high-voltage cables, which we pointed out, but we're getting ready to launch on that with a couple of platforms, seeing a lot more interest there. About 8% of our revenue as a company is cables. And that's maybe a quiet part of our business, but our expertise in cables has led to an awful lot of opportunities in the EV space, both on Cell Connecting. Most of the business we're getting there is from customers who come to us proactively and we're not out chasing those products a whole lot. We're pretty excited about that starting to pick up a little bit as well.
Phil Eyler: Pleasure.
Operator: [Operator Instructions]. Our next question comes from the line of Luke Junk with Baird. Please proceed with your question.
Luke Junk: Good morning. Thank you for taking the questions. Phil.
Phil Eyler: Morning, Luke.
Luke Junk: Wondering if you could give us a broader [Indiscernible] where you stand with your ClimateSense development contracts and maybe more importantly on this front where your capacity internally is to support this activity. Then you checked today plus what I assume is still a very high level of ongoing work with your first customer. How are you looking at your capacity to support further ClimateSense related development activity in 2022, incrementally versus FY '21?
Phil Eyler: Yes. That's a big challenge for us. We, obviously, all hands on deck with the production contract that we're finalizing development that launches for model year 24, and that's going quite well. But taken a lot of resources, especially on the software side, we're very selective on development contracts and we're really excited about the new one with this European OEM that's a serious one and we're definitely chasing after. We were fortunate to have a little bit of a gap.  A slowdown in work on one contract that we completed that led us to be able to shift resources to that one. But absolutely we're, as I point out many times, we're -- we got to be really careful to not over commit on that, to make sure we produce the best results. What adds challenges to that is our electronics team seems to be the team that is the most burdened by a ClimateSense projects. And we're also using that team pretty heavily to work on redesigns of semiconductors, finding new suppliers to offset the challenges we have.  So it's certainly, and I think this is the same for all electronics suppliers in the market is it's our biggest challenge is managing those resources, but we've done well so far. We're really excited about bringing our first ClimateSense project to market. And we continue to present the case for ClimateSense to our key customers and continue to get a lot of very positive feedback.
Luke Junk: Thank you for that. Second question. Wondering -- I don't know to what extent you can speak to this field, but could you help us better understand the breakthrough nature of the CCS and Seat Heater award with the large EV OEM that you called out on the sides?
Phil Eyler: I think I have to stick pretty much with what we put in writing at this point. Some of our customers require certain levels of confidentiality in our communication. So it's -- that customer we've had some product, not a huge volume levels with steering wheel and some seat heat. And now that's broken into the CCS, multiple platforms of CCS, and combine that plus some new awards on heat. We're really excited about that, and it also applies importantly to multiple regions with this customer. I think it's really securing our relationship with that customer and worse -- we're really excited about it.
Luke Junk: Okay, that's helpful. I appreciate that you could share that. And then if I could sneak this in here, maybe more of a tactical question given the dynamics that you're seeing around chips right now, both in the first -- the fourth quarter and extending into the start of the year, is that influencing the guidance in terms of outgrowth? If I compare the mid-point of the organic growth to what you're assuming on production, that puts the full-year around mid-single-digit outgrowth. Should we look at that and say maybe outgrowth would be more weighted to the back half of the year than the first half? Any comments there would be helpful. Thank you.
Phil Eyler: I would agree with what you just said. We certainly have -- as I pointed out, we're in the midst of the most significant challenges we faced on semiconductor shortages. But a fine point of it, as I pointed out, there are some customers where we literally have to constrain their orders proactively working with their ordering team to match our supply of chips. So that's certainly a drag on the first-half. We're keeping our fingers crossed that the recovery starts in the second half with semiconductor supply. That's what we're hearing.  That's what the recovery plans would show from our suppliers. So all that is exciting. I do want to point out too. And we mentioned that the fourth quarter was a tough comp for us. And I think if you look at the first quarter of 2021 as a comp going into the early part of the year that was also a really high launch period for us for steering wheel and HOD and a couple of new programs that we launched with high take rate. So that's also a little bit of a headwind in the first quarter of the year.
Luke Junk: Great, I appreciate the color I will leave it there, thank you.
Phil Eyler: Thank you Luke.
Matteo Anversa: Thanks, Luke.
Operator: Our next question comes from the line of Ryan Sigdahl with Craig-Hallum. Please proceed with your question.
Ryan Sigdahl : Right. Good morning, guys.
Matteo Anversa: Hey, Ryan.
Phil Eyler: Hey, Ryan.
Ryan Sigdahl : I just want to follow-up on that breakthrough CCS sort of a newbie. Is this typical timeline of two to three years until it hits production or is there an accelerated interest to that? And then secondly, I can't connect the dots to basically, one EV of note. Are we missing something there?
Phil Eyler: Yeah. The timeline is -- it is a little bit faster than the two-year typical period. And I'm not going to answer your second question.
Ryan Sigdahl : Fair enough. As you think about medical growth rates directionally relative to your guidance, you think faster forward there?
Phil Eyler: I'd say roughly in line. Potential to be faster, but roughly in line with our guidance for next year.
Ryan Sigdahl : Great. And then on the ClimateSense, so good to see a third European OEM and development projects. You had two OEMs that were on third development projects. Can you comment on status of [Indiscernible] the third, if they've advanced further? Just an update on those two key ones that have been longest duration there.
Phil Eyler: They're continuing very well, a lot of testing that's happening on those. In fact, some of them gone into exclusive testing, so it allowed us to free up some of the resources to work on this third one, as I mentioned earlier. So all positive but as I pointed out many times in the past, it's a long process. These OEMs are to really get the most of ClimateSense, it's a significant transformation of their HVAC strategy, and that's coming in the middle of a huge effort just to launch EVs. It's obviously taking a little longer than we had hoped with some of these folks.  Now, here's the positive side is, as we're doing these development projects, were able to demonstrate the added content, step-wise, that we have. We talked about the enhanced CCS active product, we call IMTM. We think that's an integral part of ClimateSense and that's getting a lot of interest. The net conditioning, a lot of interest,. All the surface level heating and radiant heating, so all these things are getting a lot more attention independently as a result of these development contracts. So obviously, it may take some time to get to full blown ClimateSense, but we see more and more spin-off projects and potential interest in these added content plays as well.
Ryan Sigdahl : Great. One more for me, just on the cadence throughout the year. Is Q4 decent run rate as you look at production, what your supply chain is to start the year for Q1 and then presumably gradual improvements throughout the year on revenue?
Phil Eyler: Sorry, Ryan, I didn't quite catch that is. You said a Q4, a decent run rate?
Ryan Sigdahl : So you did $237 million of revenue in Q4. Is that a decent run rate to start the year for Q1 assuming the similar supply chain production challenges?
Matteo Anversa: Ryan, what I would say, we don't give quarterly guidance. I would reiterate what we mentioned a little bit earlier in the call, where if you look at the cadence. We had expect -- if you look at the -- just the IHS production volume for our relevant market, IHS is expecting the second half versus the first half to be higher by about 5 percentage points, and I think is -- we think it's going to be a little higher than that. And that's the cadence that we are thinking is going to happen.
Ryan Sigdahl : Great. Good luck, guys. Thanks.
Phil Eyler: Thanks. Ryan.
Matteo Anversa: Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. I will now turn the call over to Phil Eyler for closing remarks.
Phil Eyler: Great. Thank you. And thanks, everyone, for joining our call today. As I've consistently shared in the past, we remain very focused on operational execution, innovation, and cash flow generation. I am extremely proud of our team's ability to take swift operating action in light of the significant supply chain challenges and fluctuating global automotive production levels, to deliver record adjusted EBITDA and free cash flow in 2021.  While we expect continued industry headwinds in 2022, the momentum on awards, along with expanding demand for our new technologies and our continued focus on productivity, position us well to deliver significant long-term shareholder value. We appreciate your interest and support, and look forward to keeping you apprised of our progress.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation and have a wonderful day.